Operator: Thank you for standing by. My name is Rochelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the First Quarter 2024 Hecla Mining Company Earnings Conference Call. All lines have been placed on need to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Anvita Patil. Please go ahead. 
Anvita Patil: Good morning, Rochelle, and thank you all for joining us for Hecla's First Quarter 2020 Results Conference Call. I'm Anita Patil, Vice President of Investor Relations and Treasurer. Our earnings release that was issued yesterday along with today's presentation are available on our website. On the call is Phil Baker, President and Chief Executive Officer; Russell Lawlar, Senior Vice President and Chief Financial Officer; and Carlos Aguiar, Vice President of Operations. Phil, Russell will make most of the presentation, Carlos whose Sinai will make a couple of comments. We will all be available to answer your questions. Any forward-looking statements made today by the management team come under the Private Securities Litigation Reform Act and involve risks as shown on Slides 2 and 3 in our earnings release and in our 10-Qn 10-Q filings with the SEC.   These and other risks could cause results to differ from those projected in the forward-looking statements. Non-GAAP measures cited in this call and related slides are reconciled in the slides or the news release. I want to remind you, if you would like to have a call with the management, you can do so by using the link under the section virtual investor event in our earnings release, our position yesterday. I may now pass the call to Phil. 
Phillips S. Baker: Thanks, Anita. Good morning, everyone. As you may know, I'm the Chair of the Silver Institute and I've volunteered for this position because of the world's growing need for silver. And so I'm going to actually start the call talking about silver because I'm just very excited about the role that silver has in the energy transition. And something I didn't really appreciate, which is the silver demand in India. So let's go to Slide 3. I can't overstate how remarkable 2023 was for solar energy and silver.   New investment in renewable energy was about $675 billion. And of that, $393 billion or almost 60% was for solar, and that's a 12% increase over 2022, and it's a new annual record. And this investment should continue. Silver's photovoltaic or PV demand increased to 194 million ounces, and that's per the silver survey that was put out about 4 weeks ago. And that's about 4x more than the demand 10 years ago, and it's -- and photovoltaics now represents 16% of global silver demand.   Silver photovoltaic demand had about a 17% annual growth rate over the last 5 years. And in 2024, there should be another 40 million ounces for solar. So to put that into perspective, 40 million ounce increase is about the same as the total demand that you had for photovoltaics in 2013 and you'd be 4 new Greens Creek's and 8 new Lucky Friday to meet it. Let's go to Slide 4. About 2 weeks ago, I attended the India Silver Conference where I learned 5 things.   First, India silver demand is pretty consistent at about 17% to 19% of global demand. You had to drop off during the pandemic, but it has since come back. And as global demand grows, so does Indian demand. And Indians actually have to pay more for their silver because of 12% duties and taxes that they have. Now that's going down 1% per year until it gets to 3%. So it's going to improve for them. February imports set a monthly record of 77 million ounces.   And if you take the first quarter in total, it exceeded all of the silver that was imported for the whole year in 2023. And what might be most surprising of all is the price of silver and rupee terms hit an all-time high in April. And then finally, I learned the policy commitments the Modi government has made renewables has made to renewables has really created a very large new market for solar. And that was a lot of the conversation at the Indian conference was how they move forward with solar. If you put the solar and the Indian demand together, it's about 35% of Silver's global demand, and they are both growing.   And the 3-year deficit is now over 500 million ounces, and I expect more deficit this year and into the foreseeable future. Silver's fundamentals are unlike any time in its history. Now turning to Slide 5, let me talk about Hecla and its role with the deficit. With the Lucky Friday back to full production and Keno Hill ramp-up progressing, we are the fastest-growing established silver company as a result of innovation and the efforts of our people. If you go back to 2010, we produced a total of 10 million ounces, Greens Creek produced 7, Lucky Friday produced 3.   This year's guidance is Greens Creek at around 9% and Lucky Friday at 5. That's a 40% increase without considering Keno Hill. And it's not just production growth for the sake of growth. We have maintained a low cost structure, in fact, the lowest in the industry. In 2010, Lucky Friday's cash costs were $3.76 per ounce. We're going to be around $250 to $325 million this year. And this improvement is due to investments that we've made, the 4 Shaft that patented UCV and innovation that we made, mining method, the service hoist or storage bunkers and lots of other improvements. And over the same period, Greens Creek's costs have also remained consistently low.   This year, we expect cash costs to be $3.50 to $4 an ASIC to be $950 to 10.25%. And Greens Creek has had growth in reserves. Since 2010, we've replaced 120 million ounces and added reserves to maintain a 13-year mine plan. When Greens Creek started its operations back in 1989, the mine had a 7-year reserve plan. I think Tino is going to be on the same path as these 2 mines. Turning to Slide 6. There's really 3 messages for this quarter. First, our silver operations are strong and consistent with Green Street delivering a solid quarter and Lucky Friday achieving full ramp-up.   Second Keynote Hills ramp-up is going well, and we're seeing incremental and steady improvements in the safety culture and in engineering risks out of the mine. Third, we see the first quarter as an inflection point with strong free cash flow from our established silver operations, improving performance at Keno and the insurance proceeds, which we will use to deliver over the next 12 months reported at our annual meeting on May 17. And we are, again, net 0 in 2023 on scope 1 and 2 carbon emissions where we utilized UN certified offset credits. This year, instead of using credits, we are investing in research to sequester carbon in our operations. With that, I'll pass the call on to Russell. 
Russell Lawlar: Thanks, Phil. I'll start on Slide 8. In the first quarter, we saw our financials begin to rebound as expected from the effect of the fire at Lucky Friday. We had nearly $190 million in revenue, an increase of 18% from last quarter. While we still invested free cash flow in key operations, we saw an improvement of approximately $30 million from the fourth quarter last year, maintaining our net leverage ratio by 2.7x. We expect to see the net leverage ratio improved to less than 2x over the next 12 months as we see the full effect of Lytham Friday coming back into production as well as the continued ramp-up of Keno Health. We also saw our positioning in silver continue to improve as 44% of our revenue was generated from silver, an improvement of 5 percentage points over 2023.   The margin at our silver operations have remained strong during the quarter at 47% of the realized price of silver. We expect the margins and the resulting free cash flow from these operations will continue to improve as we continue to see the effect of Lucky Friday for the remainder of the year. Turning to Slide 9. With Lucky Friday back to full production and the Keno Hill ramp-up going well, I'll speak a little bit about our financial priorities in 2024, which are hinged on the fact we have these great silver assets, which have generated over $600 million of free cash flow since 2020. I expect this free cash flow trend to continue and even strengthen as we see support in the price for silver and see the impact of Lucky Friday being back into production.   This free cash flow will first be invested in our operations, including the ramp-up of Keno Hill. We anticipate we'll spend $190 million to $200 million in capital, lower than last year because of the completion of projects at both Lucky Friday and Keno Hill. We also anticipate spending just over $30 million on both exploration and predevelopment with the plan to continue to add to our existing mineral endowment at our various operations and exploration properties. Our next priority will be to deliver the amount drawn on our revolver, which we've used for liquidity due to investments made at Keno Hill and Casa Berardi while the Lucky Friday was out of commission last year. With strong expected EBITDA generation, I expect our net leverage ratio to revert to our target of less than 2x over the next 12 months. With that, I'll pass the call to Carlos. 
Carlos Aguiar: Thank you, Russel. I'm Encinal remarking the rest of the team, and we'll keep my remarks short. We started the year on a strong note with Lucky Friday, achieving full ramp up, another strong quarter from Greens Creek and Keno Hills improvement on safety and environmental metrics as we ramp up production. Casa Brad's transition to open tees continue, and we are focused on rating cost control. We have more work to do as we evaluate pending underground operations. I look forward to having all the 4 operations running at full trouble this year. With that, we'll hand the call to Phil. 
Phillips S. Baker: Thanks, Carlos. So going to start on Slide 11 with Greens Creek, which reported another solid consistent quarter with strong free cash flow generation. The mine produced 2.5 million ounces and the increase in production was driven by higher grades and throughput. And that throughput exceeded 25, 50 tonnes per day. To put that into context, when we acquired operatorship of Greens Creek, we were somewhere around 1,950 to 2,000 tonnes a day. Cost performance is in line with the planned Cash cost per ounce was $3.45, so in sustaining costs were $716 per ounce.   That's lower than in the fourth quarter due to the higher silver production in the by-product credits. Capital spending was lower than planned due to timing of equipment deliveries and less capital development because of unexpected or where ramp was planned. That's a great problem to have. First, free cash flow generation for the quarter was $20 million lower than the last quarter due to an increase in receivables. So we just have this working capital buildup, which is going to reverse. We're reiterating our production guidance of 8.8 million to 9.2 million ounces and our ASIC guidance of $950 to 125.   Throughput has continued to increase towards the 2,600 tonnes per day and it requires a significant focus on maintenance. We're expanding our predictive maintenance practices in the mill and the mine to identify problems proactively. This has improved availability, increased college capacity and identified numerous opportunities that the team will focus on. But we are reaching the limit of what we probably can achieve in terms of tonnage growth without sort of rethinking the kind of investment that we need to make. Turning to Slide 12.   Lots of achievements at the Lucky Friday, full ramp-up in the first quarter, producing 1.1 million ounces of silver, 1,000 days without a lost time injury, multiple days in March a record mill throughput over 1,300 tonnes per day. And to put that in the context that traditionally, the throughput rate was probably around 850 tonnes -- we have completed 2 critical projects, the service hoist, which face hoisting capacity about 25% and Corser Bunker, which decoupled the mill from the mine with 5 days of stockpile capacity. And that's a big deal to be able to have those 2 things decoupled, particularly when we're operating at these higher tonnages, the mill can't catch up otherwise. We continue to work on other improvements like grinding classification to increase throughput. Cash costs in ASIC were $855 and $17.36 per ounce, respectively, higher than guidance ranges due to the ramp-up.   So that will come down over the course of the year. The mine produced $12 million in free cash flow, including the $17.4 million insurance receipts and is on track to achieve production and cost guidance for the year and be cash flow positive for the year. Turning to Slide 13, and this is where I'll spend the majority of the remainder of time Keno Hill is improving, and we are learning and trying to do everything through the lens of safety and environmental improvement. And we are making it safer. The all injury frequency rate is down 41%, but it is still too high.   Like every operation, we have a two-pronged approach where we're trying to change behavior. And then we're also engineering and designing out risks. And for behavior, we initiated a 10-step action plan to implement the best practices in training, reporting investigations of accidents and supervision. The program is about 40% complete and resulted in increased morale and has promoted a culture of transparency. So we actually have had more significant potential incidents or as many as we had a year ago but there's been more reporting.   And the point of this is the key to a safe site is really having no fear in telling what is really happening. And the team is responding well to that. This is where we're making, I think, great progress. On the design side, we're focused on modifications to environmental controls to bring it to Hecla standards. And our standards in many cases, exceed the legal requirements. And I'm struck by a comment that Brian Erickson, who's a longtime Greens Creek leader, some of you probably have met him on tours of Greens Creek.   And he's now -- well, in June start overseeing but Green creaking Keno Hill. And he rattled off a list of things not legally required, but that we need to do in order to meet Hecla standards. Now it's kind of -- like Greens Creek, it's going to be a long process. I mean we're still improving our standards at Greens Creek, a 37-year-old mine. But the geology at Keno and our culture warrants it. So for the next year or so, our focus is on better monitoring, getting more fulsome hydrologic studies and making the water treatment plant upgrades.   And design improvements are also being made operationally to make the mine more predictable and efficient, which makes it safer and more productive. There are a number of things, but the biggest is the cement and tails batch plant, which is going to allow underhand mining at Birmingham. And whenever you have the challenging ground conditions like we have at Keynote, nothing could make it safer, more productive than having miners, mining under a constructed back that the underhand method allows you to do. This plant is going to be finished by year-end and full conversion to underhand mining will happen by the end of next year.   So we're at 277 tonnes per day, and this is all from the Birmingham deposit, about 30% more than last quarter. We still have too much variability in how much we mine and mill each day, but it's getting a lot better, and we're seeing even more consistency in April and into May. At the start of my comments on Keno, I said we're learning. And what immediately comes to mind is that particularly in the shoulder seasons in order to manage the clay from Birmingham, we need the hard rock from plume moth deposits to make the crusher run better. So despite Flame and Moth lower grade and when I say lower grade, I think it's like 24 ounces per ton.   So it's not super upgrade. -- a portion of our feed is going to come from it in order to make freshens better. And you'll see -- start to see that in the next few months. With 600,000 ounces that we've done this quarter, we are confident we're going to hit our production numbers, reach commercial and full production probably before year-end, but only if we're making the mine safer and more environmentally compliant. Now let me go to why Keno's life, we think, is going to be longer than the current 11-year mine life, and it's the exploration results we're seeing.   So if you go to Slide 14. Last quarter, I highlighted high-grade intercepts at Birmingham, including one, which was 54 ounces per ton over 39.5 feet as well as an Intercept, which was 1,000 feet deeper than any previous drilling. And it provided the evidence that high-grade silver minimization can be hosted within the full depth of the 3,000-foot favorable basal courtside host rock unit. Now we've continued drilling and the results we shared today are just as exciting, where there were 2 additional intercepts in the footwall vein, one of which was 55.4 ounces per tonne over nearly 41 feet and the second was 51.2 ounces per ton of almost 40 feet.   These are multiples of the sort of width of what we normally see. These holes are near existing infrastructure, and they exceed our model's expectations. We also have 2 surface exploration drills that we've just started targeting the 3,000 foot of strike length and 2000 dip length on the Birmingham vein system to test that deeper basil courtside host -- there's also other drilling targets outside of Birmingham to see if we have cracked the code for how this system is in place. We expect to be here for decades to come. Turning to Slide 15, I'll talk about CASA.   Casa produced 22,000 ounces at an AISC of just under $1,900 capital costs of about $13 million. All of this is as expected for our guidance. We did experience lower surface grades, about 10% to 15% lower than previous low-grade quarters, some of it doing processing low-grade stockpiles, and we'll be watching this in the coming quarters. The mine had $9 million of negative cash flow, and this is an improvement over the prior quarter. And this year is an investment year at CASA, but we do expect free cash flow before we reach the gap in production in a few years.   So the investment we're making this year is as expected. Going to Slide 16 shows our guidance for the year. We're affirming our production and cost guidance. And before I open the call for questions, I just want to thank all the Hecla employees across all the sites and has been to continue to focus on safety, both designing out our hazards and making safe choices. With that, Rochelle, I'd like to open the call to questions. 
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Heiko Ihle of HC Wainwright. 
Heiko Ihle: I assume you can hear me okay. -- so Keno Hill, your release states that your action plans should be substantially completed before the end of the year. But you do leave a carve-out for some longer-term infrastructure. I mean, obviously, Flint starting next month. But building on what you had on Slide 13 earlier, can you just provide some color on what exactly you're referring to with that carve-out? When do you expect to undertake this? And maybe just even what you expect to spend by quarter? I assume it's mostly front-loaded. 
Phillips S. Baker: Yes. No, I certainly -- the guidance that we've given for 2024 is unchanged. There's nothing that -- all of this is as planned. I just wanted to make it clear to people that as we go to the underground -- the underhand mining method that is -- that it will be a process that will take some time before we'll be fully underhanded at Birmingham. And as far as additional capital in 2025, we haven't gone through those planes, but I'm not anticipating that there's going to be some major sort of capital outlay in any 1 year. But because of the exploration success that we're seeing here, it's a dynamic situation.   And we're contemplating permitting for a much larger throughput than what we currently have. We haven't finalized that, but that's the path that we're on. And like Greens Creek that over the years, and I think if you go back to its early '90s, its rate was well below the $1,900 or so that we had. 
Carlos Aguiar: I don't remember what it was. And I don't know if Ruslan... I don't know. I'm not sure what it was. 
Phillips S. Baker: It was -- so this is going to be an evolving mine and the exploration success that we're seeing justifies that. Carlos, anything you want to add? 
Carlos Aguiar: No, that's correct. 
Phillips S. Baker: So we are still a long route ahead of us, and we are still evaluating all the number that we can make. 
Carlos Aguiar: Nothing to add. 
Heiko Ihle: And then just a quick clarification. You had ramp-up costs of $8.7 million during the quarter at the site. Can you just break that down a little bit? When you say break it down, I mean, it is sort of the stub. So we have our total revenue that we generated. That goes into operating costs and then the stub is what goes into the ramp-up costs. Any color. 
Phillips S. Baker: Yes, we can add -- I can add a little bit to that. Basically, the way that we handle ramp-up costs are at Keno Hill, we will allocate -- you spend -- we spent this quarter, we spent about $15 million in cash expenses at Keno Hill. And we generated roughly $10 million of revenue. So we allocated $10 million of the $15 million to cost of sales because we're in a ramp-up period, we're not actually earning margin where it's a combination of earning some revenue while we're actually ramping up or building the operation -- and as such, then we'll allocate the remainder to ramp-up costs. So as we see the revenue at Keno Hill increase, we should see the ramp-up costs come down when we do get to the point where we believe we're at commercial or full production, we would allocate all of the costs to cost of sales. 
Carlos Aguiar: And at that point, we would expect we would have a margin as well. And we'll determine that we're in commercial production when we're confident that we have a stabilized operation. And that's in part reason for mentioning about the underhand method. I don't expect that we'll have to wait until we get all the way there to underhand, but I just be aware of that, that's something we'll have to consider. 
Phillips S. Baker: And lastly, I would just add -- it's the same methodology we've used at Lucky Friday. We did the same thing with Lucky Friday, whether it was last quarter or previously. In Q1 of 2024, we did have a little bit of ramp-up cost in January. And that's -- we've kind of disclosed that within our financials, but it's to a couple of million dollars. And keep in mind that, that line item in the income statement will ramp up in suspension costs. There's some costs in there for Nevada and a very, very small amount from San Tapatio as well. 
Heiko Ihle: Very comprehensive answer. Good quarter, stock's reacting well, and I'll get back in queue. Thanks. 
Operator: Your next question comes from the line of Lucas Pipes of B. Riley Securities. 
Lucas Pipes: Thank you very much, operator. Good morning, everyone. So I wanted to first ask on Lucky Friday, just looking at Q1, obviously, things are going in the right direction, but still more needed for the full year. So I wondered if you kind of walk through a punch list of what you expect and what you need to see to hit that full-year guidance? 
Phillips S. Baker: Look, I don't think it's doing anything more than what we did prior to the fire, and we're on track to do that. It will be a function of what's the actual grade that we hit as we go through. But we're not anticipating any particular issue with getting to the 5 million ounces if we have any problem, it's really about getting the people that we need and maintenance, that's our biggest challenge in order to have the availability. But it's I think we're going to be -- as the year goes on, we're going to be in an optimization mode, what additional changes can we make to get beyond where we are expecting to be. Carlos, anything you want to add or correct? 
Carlos Aguiar: Yes. This is a really exciting time for Lucky Friday. Of course, the termination of the major private that were completed last year. This is going to be our first year utilizing those projects and future comp price for oil? But for my second question, I'd like to turn to Casa. So you mentioned previously that the free cash flow contribution should really pick up in 2026. 
Lucas Pipes: Could you quantify your expectations around 2025? Can you give some color around that? And then with the significantly higher gold price environment today, are you looking at that mine differently from a strategic perspective from an operational standpoint, I would appreciate your thoughts on that. 
Carlos Aguiar: So Lucas, probably the best source of information as to what we think 25 and 26 will look like is our technical report. And so I would point that out for your attention. And at this point, we don't see anything dramatically different from that other than we do have higher gold prices. Where we have experienced some lower grades than what we had in the plan. So we're going to be watching that closely and trying to figure out what's happening there, if it's temporary or if there's more to that. I don't know anything else... I don't think I have much to add.   Certainly, higher gold prices could potentially cause us to have a little bit more material from the underground. I think if you step back and you think about the entirety of Casa Berardi, it's probably around the -- kind of around the edges, but we'll take the opportunity if we have the opportunity. And when you ask the strategic question, I guess, look, we see CASA as playing an important role of providing us with diversification, giving us scale. But frankly, we are certainly more focused on silver and always have been.   And CASA and gold was a means to an end of being able to be larger in order to take on more silver opportunities. And it's serving that purpose and I think it will continue to serve in the future. But the focus certainly is on silver, Lucas. 
Lucas Pipes: And Phil, on that, you speak with a lot of excitement and passion about the outlook of the silver market. I think I've heard growth aspirations about Tecla and the S&P 500. And so when kind of taking a step back how aggressive do you want to be over the next few years to pursue the silver opportunity? Is this a time to focus on keynote, get that up first or maybe press forward on a couple of different fronts to pursue the opportunity as outlined it? 
Phillips S. Baker: Well, I guess, certainly, we've got to focus on Keno and get that up and running the way we think it can. But as a long-term game. It is -- I have no doubt that it is probably we currently have an 11-year mine life. I have no doubt that we are finding more, and we will end up with a longer mine life than that. And so it's one that's an evolution -- with respect to acquiring new things, we're certainly always looking and it's -- and we're more focused on what the opportunities when they arise and trying to put things together than trying to time something.   So if things become available and it's -- people want to -- they see the vision of Hecla as the continuing to be the premier silver producer and one that's even bigger and one that could conceivably reach this goal of S&P 500, we would want to have them join up with us to help us achieve that. But we don't have to do those things. I mean we have within our portfolio, there's projects that we have that are silver projects. And some of them, particularly the Olivia exploration and things that we have in Montana have the capacity to fundamentally change Hecla and really have a step forward to be able to accomplish some of these goals on our own. But we're going to be continuing to look, and we want to bring other assets at if we can. 
Lucas Pipes: Bill, really appreciate the color and perspective to the entire team continued best of luck. 
Operator: Again, if you would like to ask a question, your next question comes from Joseph Reagor of Rob MKM. Phil and team. 
Joseph Reagor: I guess following on something Heiko asked on the ramp-up and maintenance costs. Can you give us any guidance on what those might look like over the remainder of this year and then kind of long term? When you say the maintenance costs, what are you referring to, -- by the way, Jo what are you referring to? So there was -- in Q1, there was like $14.5 million between ramp-up costs, which I know you guys attributed some of that to expenses versus revenue at Lucky Friday and Keno. But beyond that, like how much of that is ongoing care and maintenance for like Nevada, another in San Sebastian, et cetera? Do you have to break down that? 
Phillips S. Baker: I do -- certainly for Q1, most of that cost, $9 million was related to Keno. The $2 million was Lucky Friday and the Nevada and San Avastin were $3 million and $0.5 million, respectively. So $2 million at the Lucky Friday relates to that just one month, that one I think that long term, it will go down to just the Nevada and Sebastes numbers. And certainly, one of the things that we're working on actively is looking to minimize those as well because we want to make sure that those expenses are as small as we can. Yes. And Joe, I'm glad you followed up on Heiko's question because I probably should point out again that we are taking Brian Erickson, who's been at Greens Creek for 27 years and has been the GM on the last 4, 5 years. And we've asked him to be a regional Vice President over both Greens Creek and Keno.   And the reason for that is to try to look for synergies between the 2 operations because in the mining world, these are actually very close together. They're -- it's about a 6- or 7-hour trip from one mine to the other. And if you fly the whole way, if you flew, you could do it in 2 hours, including immigration. So -- and you think about materials, it's all coming up through the inland passage. It actually goes right by Greens Creek. And so we're going to try to combine procurement and nobody will be better than Brian at looking at what things we can do together between those 2 operations in order to drive the cost structure down, try to apply fixed costs that we have at Greens Creek to Keno without increasing Greens Creek's fixed cost.   That's the idea. And it's going to -- again, it's going to be an evolution. At Keno, it's -- it took a long time for Greens Creek to be cash flow positive. It will not take that long at Keno, but it's going to be a period of time that we will be investing in. I just don't have the visibility at this point as to what those synergies might be in order to drive that quicker. 
Joseph Reagor: Okay. Okay. Fair enough. And then as you think about Keno, progress again in Q1 compared to Q4, you're maintaining your guidance for the year. But are there any issues that are ongoing there that you guys feel may ultimately result in needing to make a significant capital investment to fix something or increase the fleet size or whatever? 
Phillips S. Baker: I think it's going to be driven more by the exploration success we have and wanting to increase throughput there, that could cause us to make a substantial investment. If we stay at 400 tonnes a day, now there's -- it's just hard to -- you don't have a lot of space at 400 tonnes a day to make a significant capital investment. But what we're anticipating is, I mean, the exploration we're seeing is -- the potential is so great. I don't think that will be the case. I think you will over time. But I don't have any visibility on what that might be at this point.   But it's a very exciting place and we've focused a lot of attention to try to get this right with the start because the only thing that can really, I think, caused a problem for us is really safety and environmental for performance. And we got to get those right, so we're focusing a lot of time and attention on those. 
Joseph Reagor: Okay. And then one last one. On Nevada, the assets have been idled for a while, but given the current gold price north of $2,300, is there any opportunity to consider restarting operations in Nevada or selling that asset to another company who might want to look at that opportunity? Is there any way to generate some value there? 
Phillips S. Baker: Yes. So certainly, we are evaluating if there's material that in Midas that could be mined at these higher prices. And we are continuing to do the work necessary in order to get back underground at Hollister on the Hatter dropping. There is nothing that I can -- well, -- there is a huge opportunity for value creation, if you could restart those operations at Midas at Hollister. As far as selling it, I mean, that's always a possibility, but we view it as having so much long-term exploration opportunity. And so little has been done on the Eastern Robin corridor and in Hollister that we think that's not likely something we would do, but it's -- we're not going to be wed to an asset, particularly gold asset. 
Operator: There are no further questions at this time. I will now turn the conference back over to Phil Baker for the closing remarks. 
Phillips S. Baker: The only closing remark I have is I know this is a busy day with lots of companies reporting, and I appreciate the folks being on this call and certainly understand if you want to reach out to us later and Vito Russell or I, and we're happy to answer questions. And we look forward to speaking to you. Thanks for being on the call. Thank you. 
Operator: That concludes today's call. Thank you all for joining, and you may now disconnect.